Operator: Good morning. Thank you for attending Benson Hill's Fourth Quarter and Full Year 2023 Earnings Call. My name is Drew, and I'll be your moderator. All lines are on mute for the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions] I want to pass the conference over to your host, Tana Murphy, Acting Investor Relations Leader with Benson Hill. Tana, please go ahead.
Tana Murphy: Thank you, and good morning. We appreciate you joining us to review our fourth quarter and full year 2023 financial results and outlook. Joining me today are Deanie Elsner, Benson Hill's Chief Executive Officer; and Dean Freeman, our Chief Financial Officer. We also have Susan Keefe, our incoming Chief Financial Officer, listening in. Susan begins her role with Benson Hill on March 29. Earlier this morning we filed our fourth quarter and full year 2023 earnings release. Our 10-K will be filed after the market closes today. These documents and an investor presentation we will reference during the prepared remarks will be available in the Investors section of the Benson Hill website. Comments today from management will contain forward-looking statements, including Benson Hill's expectations of future financial and business performance, industry commentary and a high-level outlook for 2024. Forward-looking statements are inherently subject to risks, uncertainties and assumptions and are not guarantees of performance. We caution you to consider the risk factors that could materially cause results to differ from those in the forward-looking statements. Such factors include those referenced in the cautionary notes included in our Form 10-Ks Form 10-Qs, press release and investor presentation and other SEC filings. Also, during this presentation, we will discuss specific non-GAAP financial measures. A reconciliation to GAAP is available in our earnings release and investor presentation. I will now turn the call over to Deanie.
Deanie Elsner: Thanks, Tana. And good morning, everyone. Thank you for joining us to review our fourth quarter and full year 2023 results and to discuss the steps we're taking to transform our business. Let me start by introducing our incoming CFO, Susan Keefe. We're excited that Susan is joining the Benson Hill team. She brings a wealth of experience working with technology-focused companies both start-ups and mature organizations in the public and private sectors. Her knowledge of biosciences and technology, strategic partnerships, innovation pipeline development and licensing will be a great asset in our work ahead. We've been working a three-part plan to strengthen our balance sheet and position Benson Hill for the incredible opportunities before us: first, implementing our cost-cutting initiatives under the expanded Liquidity Improvement Plan; second, diversifying our portfolio to enter attractive soy segments; and third, delivering strategic partnerships to execute our asset-light strategy. Today, I will walk you through the significant progress we've made on each of those fronts and explain why Benson Hill is well positioned to lead the pace of innovation in soy protein. Let's start with an update on the expanded liquidity improvement plan. As you may recall, last October, we identified key milestones designed to strengthen our balance sheet and to improve our cash position. I'm very pleased to report that these significant milestones have been achieved. We've divested our soy processing assets, including the sale of our Seymour facility for $36 million and the sale of our Creston facility for $72 million. We've restructured our organization, enabling us to deliver significant cost savings. Our team has now reduced recurring OpEx and CapEx by more than 33%, in line with previously communicated targets. These actions enabled us to fully retire our senior term loan representing approximately $120 million in debt plus interest and fees. We ended the year with approximately $49 million in cash, in line with our expectations. Dean will further address our 2023 results and outlook for 2024 in his section. In the coming months, we expect to continue driving efficiencies, reducing operating costs and looking for ways to optimize our capital structure. With our senior term loan now retired, our team is entirely focused on the opportunities ahead of us. The second pillar of our plan was to diversify our portfolio and enter attractive new soy market segments. Here, we've made enormous progress. Our advantage stems from the trifecta of our proven soy technology platform, our CropOS innovation engine, our Crop Accelerator speed breeding facility and our proprietary soy germplasm portfolio. Our differentiated germplasm along with layers of genomic data, secures our first-mover advantage because it represents literally decades of soybean breeding for animal feed. Over the last six months, we conducted extensive diligence with end users and potential partners on every aspect of our strategy, including our innovation pipeline, our value creation, our shift to an asset-light business model and our broad acre ramp-up. We validated that Benson Hill is competitively advantaged and ready today to serve the largest soybean markets in the animal feed industry, and we are well positioned to expand into the growing biofuel markets in the future. Benson Hill has built the most advanced soy genetics toolbox in the industry to simultaneously improve both protein and yield. The gains we've achieved for the genetics we acquired in 2019 have surpassed our expectations and outpaced the industry. In January of this year, we announced advancements across our entire portfolio of Ultra High Protein low oligosaccharides or UHP-LO varieties, including introgression of an herbicide tolerance trait to provide the seamless weed control farmers expect for large acre adoption. We are on track to significantly expand our seed portfolio from 22 to 35 varieties by 2025 with a pipeline that's in the final stages of lab and field testing, giving us a massive time advantage that can further deepen our competitive moat. But what is perhaps most exciting is the feedback we've heard from end users about the UHP-LO products that we have available today. Animal feed industry experts have confirmed that the soybeans we harvested in 2023 will be a game changer for animal diets. In fact, they said that if they could design their Holy Grail product, this would be it. First, with 20% higher protein than commodity meal, with competitive yield performance, enabling better feed conversion, less soybean meal required and more room for other ingredients. Second, 92% fewer hard-to-digest oligosaccharide carbohydrates, enabling better gut health, better digestibility and 27% more available energy to be used by the animal. And going forward, an improved amino acid profile leading to less reliance on synthetic amino acids. In the feed industry, every bit of margin matters. Feed is the primary cost in animal production. The reduced cost and improved sustainability benefits of the Benson Hill soy products can unlock impressive savings for animal producers. This is true value creation through innovation. Shadow pricing estimates indicate that our breeding efforts over the last three years have tripled the value creation of our UHP-LO soy varieties. We are now repeating feeding studies initially conducted in 2020 to validate these improvements and initial results give us confidence that the value proposition can be achieved. Looking beyond our UHP-LO varieties, we will increase focus on other products in our portfolio that optimize the protein oil complex. Our COVAL varieties combined heart healthy, high oleic oil for the food market with high protein, low oligosaccharide meal for the feed market. Varieties further out in our pipeline, combine high-volume commodity oil for the emerging biofuel market with lower oligosaccharide meal. This represents substantial additional growth and profit potential. The last pillar of our plan is to secure strategic partners to execute our strategy. Here, too, we've made exciting progress. Across the value chain, we're finding that organizations recognize the shift underway. The current commodity soy system is not designed to provide choice for end users. Benson Hill has designed a system to provide both choice and a voice the end user what changes the dynamic. Seed decisions can be driven not simply by what input traits farmer prefers but by what output traits the end-user demands. This unlocks a new dimension of growth for those who are positioned to be part of it. We have validated that by focusing on the needs of the end user first, we can create compelling value to incentivize all players from the seed company to the farmer to the customer. Our new asset-light business model encompasses strategic partnerships to leverage the scale and maturity of the existing value chain. Licensing technology is well established in the agriculture industry. In fact, Benson Hill, and before that, Schillinger, has been licensing high-protein, non-GMO varieties for specific food markets like tofu for years. We have long-standing relationships with multiple feed distributors that present significant share, licensing the best-performing non-GMO soybean variety on the market. What's different going forward is the scale of the end market we intend to serve and the magnitude of value we can create by leveraging our existing infrastructure. Scaling for the animal feed markets is actually quite straightforward. The market is large, but not highly fragmented. Every potential partner, whether an animal producer or a seed company represents millions of acres. Given the response we've received from the animal industry and the nature of the offtake discussions underway, we anticipate that the demand will outstrip the supply of our UHP-LO parent seed, which will be our rate limiting factor over the next two years. During that time, we expect to establish strategic partnerships and offtake agreements with animal producers to further demonstrate the value proposition of our soybeans. In addition, we expect to expand licensing agreements with seed companies to expand our go-to-market reach. A number of initiatives have already been advanced to lay the groundwork for these partnerships. For example, we've doubled the size of our seed licensing and distribution network in the past 12 months. Most of these seed companies will be testing our latest varieties in the field this year and we're validating the agronomic characteristics of our varieties through an extensive network of universities and independent testing centers. Over the next two years, we will also conduct additional animal feed studies for multiple market segments within swine, poultry and aqua. As I reflect on the scope and complexity of what the team has achieved in just a few short months, I'm confident and excited about what we expect to accomplish going forward. We have revalidated our technology pipeline, built a new business model, reshape the organization, divested two processing assets, retired debt, reduce costs and lay the groundwork with future partners. The energy and focus of the team is now entirely dedicated to operating the business, securing capital and landing strategic partnerships. Benson Hill is now at an inflection point in 2024 as we evolve the company to drive shareholder value. As I close, I'd like to take this opportunity to thank Dan Freeman for his contributions and guidance as CFO of Benson Hill. Dean has been a wonderful partner, and we wish him the best in his next chapter. I'll turn it over to him now to cover the 2023 financial results and things you can watch for in 2024. Dean?
Dean Freeman: Thanks, Deanie, and good morning, everybody, and thank you for your support and good wishes after the announcement of my transition. It's really been an honor and a great pleasure to be with Benson Hill on this part of the journey. I'm proud of the work we've done in the last two years to position the company for future success. I really enjoyed working with Susan over the last few weeks, and I believe she's an excellent choice as the CFO for Benson Hill's next phase. Okay. Let's talk results. Notably, we met or hit almost all of our key guidance metrics for 2023 despite an increasingly challenging market environment. It was a busy year. We not only focused on developing high-value strategies for the asset-light model, but the team was also laser-focused on executing under our existing business model and aggressively implementing actions under our expanded liquidity improvement plan. This enabled us to increase revenue, substantially strengthen the balance sheet and lower our cash burn. Looking at the full year results, we reported consolidated revenues of $473 million, a 24% year-over-year improvement driven by a 52% revenue growth in proprietary and 18% growth in non-proprietary grain products, respectively, for the year. Higher revenues at the end of the year were driven by higher volume proprietary grain sales and the sale of noncore technology licenses. Looking beyond revenues, we also met our targets for gross profit at $23 million, more than tripling the prior year's gross profit performance. Adjusted EBITDA was a loss of $48 million, more than 40% improvement year-over-year. Free cash use of $87 million was a $13 million improvement versus the prior year, but included onetime cash costs of approximately $16 million that sets us up for further improvement going forward and exceeded our cash use targets of $102 million to $107 million. We ended the year with approximately $49 million in cash and marketable securities. Our year-over-year improvements were largely driven by higher volume proprietary revenues, cost and cash efficiency actions. Let's look at our operating expenses in a bit more detail. For the year, total operating expenses were $128 million. It's important to note that those included approximately $19 million in goodwill impairment that we previously disclosed in the second quarter and approximately $13 million in net charges related to nonrecurring severance and other related costs associated with the asset divestitures, business transformation and cost reduction actions for the execution of our expanded Liquidity Improvement Plan. Turning to 2024. It will truly be a year of transition. Keep in mind that our reported revenues for 2023 largely came from soy processing assets that we've now divested. 2024 is going to look very different as we plan to gain momentum as a provider of seed innovations for the animal feed market. In 2024, the company's revenues will include the runoff of the previous business model, including the sale of grain and other products associated with our legacy ingredients business. We expect much lower revenue going forward as a result of these recent divestitures. While gross profit will decline proportionally with revenue during the balance of this transition, we expect to substantially improve the quality of our earnings over time as we build out the partnership model. Coupled with further reductions in operating expenses, we expect to see a significant reduction in the losses from continuing operations and further improvements of adjusted EBITDA. And with the retirement of high-cost debt, coupled with the elimination of highly restricted covenants provides ample optionality for further financing opportunities. In fact, we are in the process of exploring additional financing and strategic alternatives to expand our liquidity through the balance of 2024 and beyond. As we consider key performance factors in 2024, we will be guided by five key areas: one, successful transition of our legacy business model; second, continued improvement of our operating expenses and margins; three, acquisition of strategic partnership and licensing deals; four, optimization of our capital structure; and finally, expansion of our intellectual property and advancement of our technology pipeline. Benson Hill has proven year after year that the team can perform, execute and adapt. We are seeing substantial demand for innovations created with our core technologies to create a durable runway of growth. With that, I'd like to open up for Q&A.
Operator: Thank you. [Operator Instructions] Our first question today comes from Kristen Owen from New Jersey. Your line is now open, please go ahead.
Kristen Owen: Well, I didn't know that I was from New Jersey, but from Oppenheimer. [Multiple Speakers]
Dean Freeman: Kristen from Ney Jersey.
Kristen Owen: Well, here we go, guys. First, Dean, thank you, also for your leadership and Susan, welcome to the team. I understand at this point, in the transition of the business model, revenue clarity is really not necessarily there today to be able to provide some concrete guidance for 2024. But I'm wondering, as we think about the building of the pipeline, some of the third-party validation that you're doing, the expansion of varieties, can you maybe just help us understand what the milestones are that we'll be looking for that ultimately contribute to future revenue potential? Just help us understand how to track the business maybe over the next 12 to 18 months?
Dean Freeman: Yes. Kristen from New Jersey, Dean from St. Louis. Look, I think the way the script read, if you kind of parse through it, I think there's really two key factors. One is, I think we've got to get through this legacy business transition. And while we've divested assets and we've done a lot of fantastic work, there's still a lift through the early part of 2024 that we'll have to work through. And that's going to -- that has the potential, depending on how things play out, that has the potential to bring a little bit of volatility into our revenue outlook for the year. But I think the key attributes is really the development and the securing of partnership and licensing transactions. And I think as I pointed out in sort of my five-step KPIs, key performance indicators for the year, that is a critical one. And to the extent that we announce, secure and then obviously, execute on those partnerships and licensing, those are the key aspects, I think, of the performance that you should expect that allows us -- enables us to achieve the revenue performance that we expect in 2024 and beyond.
Deanie Elsner: Kristen, the only other thing I would add to that, just for perspective, if you go back to our 2023 results, proprietary represented about 25% of our revenue stream. And so as we go forward and we transition out with no longer having soy processing assets, what we're primarily pushing through is the 2023 grain harvest. And so, it just gives you kind of a benchmark for how to think about those numbers. We're no longer pushing really the commodity side of the business through, and we're transitioning out of directly handling and processing the proprietary side of the business. And Dean's right. At the same time, we're going to be doing a handoff to those strategic partnerships and begin to build the revenue through those strategic partnerships and strategic partnerships will be the milestones by which we will benchmark our revenue going forward. But they can be sizable and I think that we'll be able to update you as we land those.
Kristen Owen: Okay. And forgive me, I'm just looking for maybe a little bit of -- forgive the expression, but how the stoppage is made. When you sign a strategic partnership, is there an upfront licensing technology fees that you recognize and then there's a period of time over which there's some bulking up of seeds. And just help me understand like what the cadence of that kind of agreement looks like?
Deanie Elsner: Absolutely. So I'll give you a little bit of background. The strategic partnerships span an array of profiles. In some cases, if they are exclusive in nature, they have had exclusivity or tech access fees tied to them. If they're more tolling in nature or more broad-based in nature, they tend to be offtake agreement. So it just depends on the strategic partnership, we have arranged. We have managed historically both in terms of licensing our germplasm, the tolling, the seed distribution and then, of course, the exclusivity that comes with typically some kind of exclusivity fee along with that. In terms of how seed vocal happens and the offtake happens. I mentioned in the upfront comments, we -- our rate leading factor on UHP-LO is the speed and the breadth by which we can build these seeds out. And so we are building these seeds over the next 2 years as quickly as possible, literally bulking them up as quickly as possible to get to as many acres as possible. We believe that the demand for those -- that grain is going to outpace our ability to produce those seeds. So we believe we're going to be going at maximum to get these out. We have talked about historically that we are introgressing the herbicide tolerance trait into UHP-LO. That begins to go on the ground in 2026. The reason why that's important is because that provides weed control. And when you think about broad acre access or the acres needed to support supply for an animal feed segment, literally 28 million acres in the U.S. annually, you need to have HT integrated into your into your germplasm so that you can produce seeds that farmers can grow in broad acre amounts. And so our focus in the next two years is to go as fast as we can, and the strategic partnerships to literally tie up that demand, and we're confident we are in process to do that and then HT and move to broad acre in 2027. And that's why we say our plan really is de-risked in terms of the innovation requirement, the creativity requirement and really the focus is how fast can we execute and how broad can we go. And so it really becomes a derisked plan focused on executional excellence.
Kristen Owen: That's extremely helpful. Thank you for that color. The last one for me is just thinking through the support the OpEx reduction that you've taken. How you're thinking about run rate operating expense to kind of bridge you through this time line over the next two years?
Dean Freeman: Yes, Kristen, I think when we talked about cash OpEx and we talked about CapEx. We set a target of about between $55 million and $60 million. We've achieved that target on a run rate basis. And we expect that, obviously, within the script, we talked a lot about continuing to assess the cost structure of the company and aligning it with the needs of the business. But you should expect that, that $55 million to $60 million run rate is sort of the run rate through 2024 as we communicated with certainly room for improvement from there.
Deanie Elsner: Yes. And I think to Dean's point, he made some, I think, really important points in his script, and it was really around how the cash burn or the run rate is going to drop over time because we really would expect depending on the financial structure, to see a substantial improvement in our quality of earnings over time as we build out this partnership model. So that, combined with further reductions in operating expenses, would result in less of a cash burn going forward. We have a transition plan in place. And to Dean's point, we'll continue to manage the OpEx and the expenses so that we can deliver against this strategy.
Kristen Owen: Thank you so much for time. I appreciate it.
Deanie Elsner: You bet. Thank you.
Operator: We have no further questions in the queue. So I will hand over to Deanie Elsner for their closing remarks.
Deanie Elsner: Thank you again for joining us this morning to take a look back at 2023 and hear more about where we're headed in 2024 and beyond. Benson Hill has a true competitive advantage, a well-defined strategy and a really strong management team, all poised to propel us forward. I'm extremely confident our opportunities to create the additional runway we need to execute the robust value creation strategy we've outlined with you today. I'm pleased to get in touch with Tana Murphy if you have any additional questions and really have a great day. Thank you so much.
Operator: That concludes the Benson Hill conference call. You may now disconnect your line and exit the webcast.